Operator: Good afternoon. Thank you for standing by and welcome to the Eventbrite Second quarter Fiscal Year 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to Ms. Katherine Chen, Head of Investor Relations. Please go ahead.
Katherine Chen: Good afternoon and welcome to Eventbrite's second quarter fiscal year 2022 earnings call. Prior to this call, we released our shareholder letter announcing our financial results, which can be found on our website at investor.eventbrite.com. Before we get started, I would like to remind you that during today's call, we will be making forward-looking statements regarding future events and financial performance. We caution that such statements reflect our best judgment as of today, July 28, based on factors that are currently known to us and that actual future events or results could differ materially due to several factors, many of which are beyond our control. For a more detailed discussion of the risks and uncertainties affecting our future results, we refer you to the section titled Forward-Looking Statements in our shareholder letter and our filings with the SEC. We undertake no obligation to update any forward-looking statements made during the call to reflect events or circumstances after today or to reflect new information or the occurrence of unanticipated events, except as required by law. During this call, we will present adjusted EBITDA, adjusted EBITDA margin, and available liquidity, which are non-GAAP financial measures. These non-GAAP financial measures are not prepared in accordance with Generally Accepted Accounting Principles and have limitations as an analytical tool. You should not consider them in isolation or as a substitute for analysis of our results of operations as reported under GAAP. A reconciliation to the most directly comparable GAAP financial measure is available in our shareholder letter. We encourage you to read our shareholder letter as it contains important information about GAAP and non-GAAP results. And with that, I'll turn the call over to Julia Hartz, Co-Founder and Chief Executive Officer.
Julia Hartz: Thank you, Katherine and thank you, everyone for joining us today. We saw many of you about a month ago at Eventbrite's first Investor Day. It was great to be back in-person and to share the team's vision and strategy for the company. We've made considerable progress against that long-term plan and we're on course for more improvements in the second half. So, let's talk about the quarter. Product momentum was strong and our platform was used by quickly growing crater. Revenue was up 43% year-over-year in the quarter, which is at the high end of the outlook range that we raised in June and is also a post-COVID peak. We achieved our fourth consecutive quarter of adjusted EBITDA profitability. I'm excited about the surging consumer demand for unique and local events which drove a 58% increase in search volume and a 37% increase in paid tickets on our platform. Over 10 million unique buyers attended paid events through Eventbrite in 2Q. That is the highest level of consumer activity on our platform in two years. Events in music, performing arts, and food and drink are particularly popular right now and ticket sales in the United Kingdom and Australia are now 15% to 20% higher than they were pre-pandemic. Where North America was once again our fastest growing primary market in Q2. We brought on over 100,000 new creators during the quarter, and this year's new creators of paid events are outselling the levels we saw in 2019. Total paid creators on our platform grew 48% year-over-year and are closing the gap to 2019 level. Since we last saw you in June, we shipped 10 major product releases to our creators, I'm really proud of that effort. In the second quarter, our focus was on consumer conversion, report creator efficiency, and Eventbrite Boost. We added Google Pay as a payment option to improve checkout conversion. We introduced a new dashboard for creators which built on earlier work we've done to overhaul the navigation experience and makes it easier to manage many events. And Boost received its 12th update since we launched it a year ago. With each update, Boost becomes easier to use them more robust for creators. We reduced the steps required to launch a social ad campaign from eight down to four, which resulted in a 16% increase in campaign creation. And we've launched a closed beta release of Eventbrite ads, which will give creators the ability to advertise to the high intent audience searching for events on our platform. The team is on track to release more than 50 new features and product enhancements in the year, and that includes major launches for all four technical and product pillars we shared at Investor day. These improvements will better align our capabilities with our creator needs, which we think is key to driving sustainable and profitable growth in the long run. Now, I want to touch on some of the other important work we're doing to serve our creators, our employees, and our community. On the creator front, we announced the Creator Collective, which is a group of highly experienced and successful creators who will serve as a customer counsel to us. And we also launched the RECONVENE Accelerator, a grant and mentorship program that will help launch new event professionals. On the team front, Eventbrite was certified as a Great Place to Work in May, with 93% of our [indiscernible] nominating the company for the designation. That's an incredible level of support and speaks to our people-first culture. And just last week, we announced that John Adcock will be joining the team as our new Chief People Officer. We're thrilled to have him here for the next leg of growth. On the ESG front, we launched the social connection project, which is our initiative to understand and reduce social isolation, especially amongst youth. We're tackling the challenge with leading partners like researchers at University of Georgia and Brigham Young University, also in partnership with Lady Gaga's Born This Way Foundation, and The Coalition to End Social Isolation and Loneliness. As we look to the second half of the year, we're optimistic and confident that our collective work will continue to compound in strength. The consistent recovery in paid tickets since Omicron-related slowdown at the start of the year has been especially encouraging. Our third quarter business outlook calls for 25% year-over-year revenue growth at the midpoint of the range as we anticipate this trend to continue. Based on recent performance, we believe our strategy and our execution have well-positioned Eventbrite to build strength, even through harsh environments. First, our focus on frequent creators means that our product investments prioritize the broadest and most active customers on our platform and in our market. Second, our self-service product model continues to get stronger with our self-sign on channel now outpacing pre-COVID era results. And this is important for both revenue and also the profit we generate from the core ticketing business. Third, our emerging marketing and demand generation products will be even more valuable in an environment of increased competition for consumer dollars. And finally, our financial position remains strong with ample available liquidity and another quarter of adjusted EBITDA profitability. We've proven ability to operate successfully through very challenging headwinds and I believe we can continue to do so even as we keep an eye on macroeconomic and pandemic-related development. As Lanny will talk about, we're balancing our near-term view with some caution regarding external factors that may impact our business. But more importantly, we remain fully committed to the strategy and business model that has consistently yielded growth and margin expansion over the last two years. So, we'll continue to invest responsibly in the technology and products that matter to our customers and deepen our long-term differentiation. But in this environment, that also means being cleareyed about priorities and execution and being ready to adapt if conditions do change. This is how our team will tackle any challenges ahead. And I'm confident that we're firmly in the driver's seat for long term success. And now, I'll pass the call over to Lanny.
Charles Baker: Thank you, Julia. We extended the strong momentum built in March into the second quarter and delivered our highest revenue since the fourth quarter of 2019. The improved results in the quarter and the first half of the year reflect consistent execution on our strategy and a focus on delivering increasing value to the greater community. Revenue grew 43% year-over-year and 18% over the first quarter. During the second quarter, we saw continued strength in consumer demand as the world came back to live events. In keeping with the customary seasonality of our business, ticket sales volume declined from the peak in March through June. However, that decline was smaller in 2022 compared to pre-pandemic years. The strong topline growth was fueled by improvements across most of our paid ticketing metrics and the gears that drive our revenue engine worked as follows. First, the number of paid creators grew 48% year-over-year to almost 170,000 creators. This is the highest paid greater level since early 2020. Within those numbers, we saw creators of larger one off events come back even stronger this year. And at the same time, our core strategic base of frequent creators is continuing to grow rapidly in the second quarter, up 32% year-over-year. With the return of less frequent creators, the number of paid events per creator was averaged down to three in the second quarter compared with four per creator one year ago. However, the total number of paid events transacting on the platform grew by 7%, year-to-year to more than 0.5 million events. As indicated, the consumer demand side of our marketplace remained strong in the second quarter and paid tickets per event averaged 43 compared to approximately 34 tickets per event in the same period of 2021. In total, paid ticket volume grew 37% versus 2021 and totaled 21.9 million tickets in the second quarter. That kind of growth reflects both the appeal of our creators content, as well as our own success in marketing our events and helping to convert ticket buyers. The average ticket value in the second quarter was roughly flat year-over-year at $39. The strengthening of the U.S. dollar relative to other currencies, particularly the pound and the euro, had a slight adverse impact on overall average ticket value and revenue in the quarter -- about 2%. Finally, our revenue take rate was 7.8% in the second quarter, a 40 basis point increase from a year ago reflects our customer focus and their recognition of additional value we're building into the platform. Revenue per ticket was $3.02 in the quarter, with Boost subscription fees contributing $0.04 to that average. Alongside our topline momentum, we delivered adjusted EBITDA profitability for the fourth consecutive quarter. Gross margin in the second quarter was 65.1% compared to 61% in the year ago period, with growth in ticket volume and revenue, listing gross margins in line with our expectations. Total operating expenses for the quarter were $56 million compared to $46 million a year ago. Normalizing for a $1 million reserve reversal in the current quarter and $600,000 in non-recurring expenses in the second quarter of 2021, total operating expenses were up $11 million or 25% year-to-year. More than half of that increase reflects the investments we've made to strengthen and expand our product, design, data, and engineering teams. These investments are directly linked to our product-led strategy for sustainable long-term growth and profitability. We're pleased with the return on investment that we're seeing as measured by improvements in platform reliability, release velocity, creator growth, and overall revenue. Elsewhere, we continue to manage expenses carefully. Combined sales and marketing and general administrative expenses increased 18% year-over-year, when excluding non-recurring items, which is less than half as fast as revenue or gross profit growth in the second quarter. As a percentage of revenue, we gave more than 10 points of operating leverage on sales and marketing and G&A combined over the past year. Adjusted EBITDA for the quarter almost doubled from the first quarter to $4.7 million, representing an adjusted EBITDA margin of 7%. We ended the first half of the year with $671 million in cash and net liquidity of $353 million, which provides financial flexibility to support our growth plans. Looking at the third quarter and the second half of 2022, we've considered a variety of internal and external factors, as well as long-term and shorter term trends in forming our business outlook. We currently anticipate third quarter revenue within a range of $65 million to $68 million. Within that outlook, we expect consumer demand for live events to remain healthy, based on the return of live events and our renewed ability to gather together safely, as well as the affordable local nature of most of the inventory on our platform. We've taken a more cautious view of the near-term outlook around our creators, recognizing that macroeconomic factors like inflation, labor shortages, and rising interest rates may lead to more friction around staging event. Accordingly, where we saw a stronger than typical month-to-month progression across the second quarter. Our assumptions for third quarter revenue reflect month-to-month progressions in line with to slightly below pre-pandemic norms. On the cost side, we will be disciplined about expenses and investments with an eye on protecting adjusted EBITDA in the near-term. While it's critical that we continue to invest in our product, which is the foundation of our long-term growth, our experience through COVID honed our ability to be flexible, make bold decisions, and take swift action where needed to achieve our priority. Our team has proven and it is capable of effectively navigating challenging conditions. As we shared at our recent Investor Day, we believe we can achieve long-term revenue growth of 20% per year or better, along with adjusted EBITDA margins of at least 20% in our long-term model. None of that has changed. We have deep conviction in our strategy, which centers on giving creators the confidence, tools, and the visibility to host events successfully using our platform. Where we've realized strong results in frequent creators, Eventbrite-driven tickets, take great, revenue, gross margins, and EBITDA, we can credit that strategy and our execution for a large part of those gains. The favorable secular growth trends and the experiences economy and the creator economy are another strong source of encouragement as we look ahead. Finally, over the past two years, and even longer, really, our creators have proven themselves time and again to be nimble and resilient, as well as, tremendously innovative. For all these reasons, we're excited about what lies ahead and working hard to capture that opportunity. I'll now turn the call over to the operator for the question-and-answer part of the call.
Operator: Thank you. [Operator Instructions] Our first question comes from Matt Farrell with Piper Sandler. Matt, your line is now open.
Matt Farrell: Thanks. Congrats on the really strong execution in Q2 as things continued to open back up. My first question is on your commentary around Q3 and the cautious creator environment. Is that something that you have already started to see in your business as we've moved here through July or had conversations with creators over the last couple of weeks that they're kind of feeling as we enter the back half of the year? Or should we just kind of think of it as -- maybe we -- read the writing on the wall from a lot of the macro data points and things may just get a little bit worse from here and from an economic perspective?
Julia Hartz: Thanks Matt and welcome. We're excited to have you. I would say it's the latter. We haven't seen any sense of the macro environment impacting our creators yet. And we also want to be cautious about this and this is every everything everybody's talking about. And we believe that Eventbrite, based on our history, is recession-resistant, but I wouldn't say that any company is fully recession-proof. And so we think it's prudent to be cautious. But also we know that creators have shown that they can be incredibly resilient. We've grown the number of new creators from Q4 of last year at 90,000 to Q1 95,000; Q2 105,000 plus, and so we see continued strengthen not only the net new growth of creators, but also -- and I think more relevant the activity that the creators on our platform are having. I would say that the other thing is that we are seeing this consumer demand that's really strong and we believe that in recessionary periods, the types of events that are on our platform use an average ticket price of $40 or less are exactly the types of events that people want to get out to during stressful times and the economic environment. We've actually seen that before and the history of the company through 2008 2009. And then finally, I think that we're a different company. We are -- our headcount is 30%, lower than it was prior to -- March of 2020. Our dev headcount is 20% higher, our gross margins are 10 points higher, and our OpEx is 20% lower. So, I think the actions we took in 2020 to take $100 million out of our OpEx and really reorient the company towards being truly product-led is starting to bear some really nice fruit for us as we head into -- what could be a harsh environment.
Matt Farrell: Thanks. That's all. Very helpful. With my second question, I wanted to move over to Boost. You've continued to introduce new updates here. And I'm just curious as you kind of released these updates and are you continuing to see these updates drive either further adoption from -- either free -- people who use it for free tickets or from paid creators. And just any sort of trends that you kind of see from an adoption perspective as you continue to update the platform? Thank you.
Julia Hartz: Absolutely. We've been pleased with the progress, especially on the product side that's been made on Boost. We reported our 12th update in almost as many months, and what we want to do there is continually iterate the product to not only expand its surface area. So, for instance, we're adding the ability to post on LinkedIn and advertise there in Q3. But we also want to make it easier to use and so we reported some of the activation work that we did, leading to a 16% creator campaign increase. And so that's what you should expect to see moving forward is we're going to be working both streams and that's really as we think about taking this creator platform that we've built and strengthening it to not only be a great commerce engine for our customers, but also a growth platform. So, I think that's something that we're focused on, we're going to be constantly making it easier for creators to discover Boost as well as being right in front of them at the exact right time, when they're thinking about marketing their event. And then we did release in closed beta Eventbrite ads, which is a really important extension of the Boost functionality, because not only can you now use the power of the Eventbrite platform and the data we have to advertise on external platforms, but now you can also advertise the extremely high intent audience that searching for events on Eventbrite.
Matt Farrell: Awesome. Thank you so much.
Julia Hartz: Thanks Matt.
Operator: Thank you. Our next question comes from Youssef Squali with Truist Securities. Youssef, your line is now open.
Youssef Squali: Great. Thank you so much, and congrats, guys on the -- nice progressing here. So, a couple of questions for me. Maybe Lanny, can you just help us understand a bit of the -- well, I guess linearity of demand throughout the core, and more importantly, what you saw in July, looks like the guide seems to be our eyes on the conservative side. So, maybe just help us understand the puts and takes there and just remind us of the seasonality of the business not only Q3, but in Q4 as well? And I have a follow-up.
Charles Baker: Sure. Thanks. The -- it's hard to say what the normal seasonality is because the world has changed. But if we go back to 2018 and 2019, there's a fairly linear progression across the course of the year. From the second quarter to the third quarter, we've seen historically fairly flat, maybe up a little bit, but within -- that's quarter-to-quarter, but within the quarters, there is a lot more seasonality than you see at the whole quarter level. So, as we said, we kind of come in the first quarter to a peak in March and then the ticket sales typically come down through the month of June, they did that this year, they came down less than what we would sort of look as "normal seasonality." So, we outperformed what we've seen historically. Then as you look into the third quarter, typically from the base in July, you start to rise through August and into September. And in our outlook, we've contemplated that our seasonality this year will be in line with and perhaps a little bit softer than what we'd seen in those prior periods. As you get into the fourth quarter, typically October -- the start of the quarter is another really big month, and then ticket sales trail off into the holidays. But then we have a great finish to the year around -- Typically around the new year's event. That's typically one of our biggest sales events of the year for our platform. Last year in 2021, New Year's was impacted by Omicron. So, that'll be a factor at the end of this year. But I'd say sort of stepping back as we look at the second half of this year, we anticipate continued strong consumer demand as we return to gathering and we are anticipating as we look at the world as Julia said, a more cautious environment potentially from creators around the macro environment, labor, shortages, inflation, supply chain, everything else that we're talking -- the world's kind of talking about, we think could be impacted the second half, and we'll see how it goes.
Youssef Squali: Okay, that's, awesome. Thank you, Lanny. And then on Eventbrite ads, so it's been rolled out carefully. Any kind of early learnings so far? And just when do you kind of open it up to everybody and kind of aggressively push it out?
Julia Hartz: Sure. I mean, we've noticed that demand from creators is strong and budgets are higher than we had originally anticipated, which is exciting. We think that as we get a greater handle on fulfilling the demand and ensuring that we can deliver that fulfillment and create a really lights-out creator experience, we'll be quick to open it up. And I think it's only been a matter of weeks, and the team has done a great job at quickly iterating and testing and ensuring, again, that we can offer a delightful experience. And I think this is one of those aspects to Eventbrite, that's quite unique for this small business owner, because the advertising landscape is incredibly noisy. And it's very hard to find the signal. So we want to make sure that when we release this to the broader group of creators, which is 100s of 1,000s of active creators on the platform every month that we can really deliver on the promise of helping them drive more ticket sales. And that's what we're laser focused on.
Youssef Squali: Julia, I guess, funding wise, is it realistic to expect what you're talking about to be happening before year-end? Is it really more of a 2023 kind of formula in a timeframe?
Julia Hartz: I couldn't hear the question.
Charles Baker : The question was around the timing of Eventbrite ads rollout. And as Julia said, we have -- we've had it now in a pretty limited beta, with a select number of customers and select number of markets. And we're going to be purposeful and thoughtful and also bold about expanding the number of markets, the number of advertisers that can be in there. It's hard to say, when -- I don't want to say today when we'll have a contribution that's meaningful you name it by month or by quarter, but we have a -- based on the signals, we've seen a tremendous amount of confidence in the long-term opportunity for us to be that growth partner for creators and do it in this way.
Youssef Squali: That's fine. Thanks, Lanny. Thanks, Julia.
Julia Hartz: Thanks Youssef.
Operator: Thank you. Our next question comes from Ryan Sundby with William Blair. Ryan, your line is now open.
Ryan Sundby : Hey, Julia. Hey, Lanny. Thanks for the questions. It sounds like paid creator growth of 48% was driven by larger, less frequent creators this quarter. I think you also said new creators or that are publishing for the first time or transacting at higher levels in 2019. I guess the question is here then, as these less frequent creators come back and have success, are you starting to see them become less infrequent? Or are there any signs that, I guess, their success is helping to encourage others to come back as well? Any color there would be great.
Charles Baker: Sure. Yes. Look, I can give you two perhaps pieces of insight on that, Ryan. As we said, as new creators are coming on the platform, we're seeing if you look at the first 60 days, the first 90 days or first 120 days, the number of events that those new creators are having, or the number of ticket sales that they're bringing on is better than it's higher, they're being more successful than going back two, three, four years ago. And I think that's reflective of a couple things. One, it's the external environment. There's a lot of demand for live events. It's reflective of our very targeted marketing and product efforts to go after those who are going to be frequent creators with great content. And then it's also the tools that we've made that are helping enable creators reach that audience. I think we're very excited about the fact that over the last couple of years, Eventbrite driven tickets have been outgrowing all other tickets on our platform. So we're becoming a bigger our muscle to help those new creators, I think is being developed quarter over quarter over quarter.  We look at cohort data all the time. And it's on the order of 80% to 90% of the frequent creators are increasing their event frequency today relative to where they were, call it, six or 12 months ago. So there are some clear signals that we see with our customers of enabling their success in what's a -- what is a really good market for them.
Ryan Sundby : So that's good to hear. And then it sounds like the UK and Australia are trending towards 15% to 20%, above pre-pandemic levels now. I guess, what is it about those markets that have allowed them to, I guess, rebound past 2019 levels? Is there anything we can, I guess, take or read into that in terms of your other markets, and when they can return to that type of level two?
Julia Hartz: Yes. So I mean, I think for each, it's a country specific story related to COVID policy. And I think the payer has taken a stance of being more open for longer. And so you're starting to see more and more events, particularly in music, performing arts, food and drink really take off and continue to sustain. With Australia, some of the opposite story, but also leading to great growth, which is that they have been closed the longest and are now having their euphoric moment of reopening such that we had in North America last summer. So I think that each country is sort of on its own time access in terms of consumer demand vis-à-vis how long the lockdown has lasted for them, and then just COVID policy moving forward. And so what we're doing is, we're capturing that demand, and we're also driving that message back to our creator community in terms of where, what kind of event that where consumers are going to start to reinforce creator confidence. And that's something that drives our marketing programs, our sales programs and the content that we produce on Eventbrite.
Ryan Sundby : That's great. You can leverage the platform that way. Good to hear. Thanks.
Julia Hartz: Thanks, Ryan.
Operator: Thank you. Our next question comes from Justin Patterson with KeyBanc. Justin, your line is now open.
Unidentified Analyst: Thank you. This is Sergio on for Justin. We had two questions. I was hoping you could talk about a little bit about what drove the outperformance on the top line versus the original outlook? In other words, what was better than expected then what you added originally had in your guidance? And then second, on investment levels? How do you think about the appropriate investment level just given the uncertain macro environment right now? Thank you. 
Charles Baker: Thanks a lot. So in the quarter -- in the second quarter, I'd say the biggest surprise to us was relative to our expectations going into the quarter was the strength of consumer demand. And the place where you'd see that the most clearly is in the attendance per event. For that number to be up nine, 10 attendees year-over-year was really significant. And so that's -- we just saw that. It was a great market for creators who put on events, they were met with very, very strong demand. So that's probably the single place of most excitement relative to our initial expectations for the quarter. As we're thinking about the investment level, going forward, our long-term model and our goal is 20% plus adjusted EBITDA, and we've laid out the path to get there. We delivered some, I think, pretty -- we're very proud of the progress we delivered in the second quarter, gross margins were up four points year-over-year. And as Julia said, sales and marketing and G&A gave us 10 points of operating leverage on a year-over-year basis. We're continuing to invest in product development to drive growth. Year-to-date saw our total headcount is up about 15%, 16% since the start of the year, with almost two thirds of that hiring activity happening in product and engineering to drive our roadmap, to deliver value to our customers and to build the platform for future growth. So in the environment that we're in with a macro environment, I think it's natural to keep an eye on the economy. We will project -- protect the adjusted EBITDA profitability that we have as company. I think you can expect that if the macro environment does become more difficult, we'll take a more measured pace on hiring in the second half of the year. But we as I said, as Julia said earlier, when we look at the places where we look for return on the investment we've been making in the product, we see it and we're going to keep making that investment, because we think it's resonating with our customers. Thanks, Sergio.
Operator: Thank you. Our next question comes from Ben Swinburne with Morgan Stanley. Ben, your line is now open.
Cameron Perrone: Thanks. Hi, team. This Cameron on for Ben. Two quick ones on the product side. Hey, how's it gone? Two quick ones on the product side, I want to follow-up on Eventbrite ads product, just anything you can share. And I realize this is in beta. So it might be still kind of testing a little bit, but anything you can share on what that experience looks like for creators. Is there different channels that you're going through, if you want to promote on the Eventbrite platform versus signing up for social promotion and just kind of like UI or UX lives for creators kind of more what that looks like? And then, on the enabling new payment methods and making it a bit more of a frictionless process for attendees, what are the lessons so far from Apple Pay and how incremental do you expect enabling Google to be? Thanks?
Julia Hartz: Yes, absolutely. Thanks, Cameron. So on the Eventbrite ads vision, really for us, it's about making it seamless for a creator to not only create their event listing, but at the same time, access marketing and advertising tools. So the two things that, I think really matter to our customers, our core customer of frequent creators that they can get efficiency out of the workflows on Eventbrite. And that they can expand their community really meaningfully, not just getting a good placement, but also converting that into an ongoing event goer. So we keep that as our North Star. And we think about driving efficiency through the UI flow as being one where you are basically prompted to tell us, what your marketing budget is. Oftentimes, we see frequent creator of especially paid events spending between 20% to 40% of the face value of a ticket on marketing. So we want them to be able to indicate what their budget is and then also be able to easily choose the surface areas that they want that Eventbrite ad, or that event ad to show up in an Eventbrite can start to serve that. Eventbrite ads, is going to be an additional channel to them alongside other off-platform social advertising. For us, the second part of that that's -- really important is making other means of promotion easily accessible. So we'll continue to invest in distribution into partners that provide a wide audience range and exposure. We'll continue to iterate and improve our e-mail marketing tool set. And this is all going to be -- it is a part of the Eventbrite's Boost experience today. And so as we continue to not only expand surface areas, we also are continuing to invest in the UI and make it easier and easier. And I think we have a lot of great work ahead of us to simplify it. But at the end of the day, we keep that North Star of efficiency. It's top of mind alongside making sure we're meaningfully expanding the community like the community addressable market for our event creators. On the payment method, what we're seeing early days is a nice lift in consumer conversion after rolling out Apple Pay and that is predominant in our iOS app users and so making that a one click to buy ticket is something that has shown some really positive returns for our creators. And with the fast follow as Google Pay, it's too early to give you any report on that. But we expect that, especially with our Android users, we'll see a nice lift as well. So we're really seeing it through our native app usage. And I think the rising tide will raise all boats on that front. And we're going to continue working on how we can make conversion just easier and easier because we know that the sooner we can get a consumer through buying a ticket to an event, the better we can deliver value for our creators.
Cameron Perrone: Great. Thanks so much.
Operator: Thank you. Our next question comes from Dae Lee with JPMorgan. Dae, your line is now open.
Dae Lee: Great. Thanks a lot for taking the questions. Just want to clarify on the cautiously around creator confidence. So is that more around our ability to create events because of shortage in cost rising? Or is that more that the typically much slowing in anticipation of demand flowing?
Charles Baker: Dae, this is Lanny. I would say, it's kind of hard to disambiguate the two. I think that our outlook is that, there could be more caution amongst creators faced with things like labor shortages, faced with inflation and the cost of putting on events. For some creators, supply chains can be constraints. We haven't seen these things be a factor year-to-date. But I think they've compounded over the course of the year. And as we look ahead, we have a high degree of confidence in our expectation that the consumer demand for our events, events that are on our platform is going to remain strong. And we have -- as we said, we're anticipating a bit more cautious in our outlook, activity level from creators.
Dae Lee: I guess as a follow-up then, in that case, like is there like levers that you guys could pull to potentially get alone creators on the platform to place those being headlands -- or is that just tough to do given the environment?
Julia Hartz: Well, I think everything that we do today in our acquisition cycle is really focused on helping creators have more confidence to come back and either come back to the platform or be publishing their first event with Eventbrite. And so what we've been doing is really tying together the consumer demand signals we see and delivering that back to the creator community, whether they're a previously active creator who's been dormant or an entirely net new creator audience. Some of the marketing activities that we have done in the last year around our Reconvene Summit and Series had also been focused on that because we're taking real-time success stories and replaying those for our creator community and audience. And so everything that we think about in terms of marketing is really focused on how can we help a creator feel confident and see the results that they can get when they post more events. And I think you can see that start to play out for us in the frequency numbers with number of events being strong in tickets per event of, on the platform growing in strength. And so we just want to continue that drumbeat. And we believe that with more and more data and more functionality to help them truly sell out their events. We can continue to compound in strength. And the one thing we know about our market is it is incredibly fragmented. And it also is highly networked. So word-of-mouth has always been a really strong component of our growth story. And we think we're getting even stronger on that as we see the brand ubiquity grow and strength.
Dae Lee: Great. Make sense. Thanks for the color.
Julia Hartz: Thanks, Dae.
Operator: Thank you. Our next question comes from Lamont Williams with Stifel. Lamont, your line is now open.
Lamont Williams: Hi. Good afternoon. Given the growth in the number of creators that you see and as we continue to reopen and recover from the pandemic, where are you -- where are the creators coming to you from? And are you seeing anything, any different any changes in the consumer landscape? I'm sorry, competitive landscape.
Julia Hartz: Yes, absolutely. So as you know, the landscape is incredibly fragmented. And I think where we win is in our -- both our SEO marketing strength and our paid marketing efficiency. And that self-sign on channel that's driving 98% of our Creator acquisition. And so that continues to build in strength and that channel is now at all-time high. So for us, I think that will continue to be the playbook that we strengthen and we continue to lean into. And on the sales front, in terms of when we take a targeted approach at acquiring customers and locking them into a contract, that sales team is in lockstep with our total acquisition machine, meaning we're looking for frequent creators who are successful on the platform and as we gain greater insight and combine data on that frequent creator. We are getting better and better at finding that perfect sweet spot for our sales acquisition channel. And so that's something I'm really pleased about. And I think it just streamlines the acquisition machine in a really nice way and delivers profitable return.
Lamont Williams: Okay. Thank you.
Operator: Thank you. That concludes today's Q&A session as well as today's Eventbrite second quarter 2022 event earnings call. Thank you for your participation. You may now disconnect your lines.